Operator: So good afternoon everyone. And welcome to AXA’s Full-Year 2015 Results. Welcome to those on the telephone, welcome to those watching by webcast and indeed welcome to those here in room in London. When we get to the Q&A as per usual we’ll be happy to take questions from over the phone or the webcast. And I believe you have the instructions in order to be able to do that. We will give a preference to questions coming from our friends here in the room. Presenting today will be Henri de Cast, Denis Duverne, Gérald Harlin and it’s my pleasure to hand over to Henri.
Henri de Cast: Denis was asking me if I had taken a piece of chocolate cake and I told him that I resisted that will firmly succumbed by the end of this presentation. So very happy to be with you this afternoon to share with you, what our 2015 results have been. And as you have already seen I think they are pretty strong, because we are showing strong earnings and good a dividend because they also illustrate the fact that we are coming to the end of the five years journey which was Ambition AXA and we have completed with the journey with a satisfactory outcome and all the key KPIs and this despite the fact that the economic environment and in particular interest rates, have not been which we were anticipating at the very beginning of the exercise. So despite the headwinds we have reached or exceeded the targets we had. Having said that, and even if I comeback to some of these achievements in the presentation this is not the end of the story. What we are focused at now is not to sit about the past but to look at the future and I think we've built a very, very strong basis to reach the next step with the group. And as you know it’s something we’ll share with you around mid-June. So the earnings in 2015, strong growth in earnings of course helped by the ForEx but I mean on the constant basis, they are 2%, we’re reaching €5.6 billion in underlying, it’s the highest level of earnings ever reached by the Group. Adjusted earnings same progression at €6 billion so we are just in the range we have been forecasting in terms of capital gains. Underlying earnings per share that’s 10%, adjusted earnings which are the basis for the dividend of 9% that’s why we are proposing to the shareholders’ meeting to improve a dividend of €1.10, which is an increase of 16% when compared with last year and seeing that you see that we are working the talk on the increase in the payout, we announced back in November the fact that the payout range would move to 45%, 55% we are at 47%. Just a quick look back at what we have achieved with Ambition AXA. We had three key objectives with that. More selectivity in our business, because we saw that there were places of business segments, where the returns and the development prospects were not optimal and we thought we had to divest them. We wanted to accelerate, especially in the emerging countries, because we saw that at the very beginning, the AXA footprint in these places where significant growth would happen overtime was not sufficient. And the third thing was to generate more efficiency and cut costs while still investing in the future. I think where we are today is pretty satisfactory from that standpoint, because we are achieving a high return on equity, we have a very strong balance sheet it is traded by the Solvency II ratio. We have very resilient earnings I think you’ve seen that throughout the years. We have a better diversified footprint both in terms of business segments and in terms of geographies. And last but not least this is going to be a very important element for the future. I think the momentum we have created on digital and big data is such that we are well-positioned to take a very significant advantage out of these things. Just to go back to what were the key indicators earnings per share have improved by 7% a year on a compounded basis, so exactly in the middle of the range we had announced. The return on equity is at 14.1%. The cash flows generated over the period have been higher than what we had announced. And the debt gearing is at the bottom of the range, we have decided. By the way, we are going to slightly change as you know the way we report the debt gearing to allowing our reporting with what other players in the industry are doing and Gérald will mention that of course. Solvency II, we have disclosed in November everything, so you know us as well as we know our self there. The ratio is 205%, so far it seems to be that it is the highest ratio published in the European industry. And we’ve told you that we would navigate between 170% and 230% with a pretty – we have given you a pretty precise roadmap there. We are giving you here some sensitivities to illustrate our resistance to explain scenarios, and since I’m sure that some of you are wondering where we are today or where we will be tomorrow if I think you have here all the elements you need to understand that we are in a very comfortable situation from this standpoint. That gearing I have already mentioned. The discipline is illustrated by the members who are on the page. In five years we have sold €9 billion of assets, operational assets, we have invested about €6 billion. €5.1 billion of them to be precise being in emerging countries. We have a low sensitivity to interest rates, less than around one year duration gap an impact of €200 million a year if rates negative, if rates stay at the current level. Our asset portfolio is a very good quality we’ve shown to you here the average rating of the bonds and we’ve given you the exposure because it seems to be the fashion of the day. What’s the exposure to banking, what’s the exposure to oil and gas, you have it here. Gérald or Denis will come back to that. The 2% or the 1% apply to the general account assets so little more than €500 billion. So, hence the exposure we have there is a very good quality exposure. The next point is, what have we been doing to shift the business mix and increase the margins. And that I think about five years the picture is pretty impressive, because not only did we change the business mix in life, reducing the amount of general accounts in the new business which has gone over the period. But we’ve also very significantly changed the margins, on each and every segment of the business which puts us in a situation where APEs are higher than before, and we have the margins of progress by approximately 50% over the period, moving from 22% to 34%. On the P&C side the gain has been again of reducing the combined ratio by little more than three points, whilst generating nevertheless some revenue growth. It’s clear that the P&C business is a business where growth is challenged. But you see that we can resist pretty well. The footprint in Asia and in other emerging markets is way stronger than what was back in 2010. And I said we have invested a little more than €5 billion in these markets. There has been a place where we've been disappointed, it's clearly Central and Eastern Europe, fine. But Asia certainly has delivered as well as MedLA, where we have very good and significant market positions which we think will pay off in the long-term, even if there is volatility on the trend. Just to illustrate Asia, APE’s have been doubling, the NBV has been nearly doubling. And the cash earnings we’ve been extracting from Asia are at €2 billion over the period. So last leg of Ambition AXA was the efficiency the initial target was €1.5 billion of savings we have achieved €1.9 billion. Whilst investing a little less than €1 billion in the new technologies. So we’ve been able to improve the efficiency of the group without sacrificing the future, which I think is an important element. This digital transformation keeps gathering momentum. As you know, we have three levels, what do we explore at the AXA Labs, what do we start to do, where do we build tools, applications, and where do we invest to participate into interesting stories. We’ve put for you there the way our investments have been targeted internally, and it’s interesting because what it shows is that it’s affecting each and every segment of the insurance value chain in a significant way. The other things we’ve been putting there is the amounts we’ve been investing outside of the group to try to generate new IDs, disruptive models, sometimes clearly outside of the Group and it's AXA strategic ventures, which have now completed approximately 17 investments in various startups. The second thing is at the bottom of Group comment, which is led by [indiscernible], former Head of the Direct Business which is another interesting experience we started in the 90s, which is now generating billions of revenues. This is to build internally, disruptive models. The last point is a quite interesting investment we’ve made in the recent weeks in AIG, not the insurance AIG, but Africa Internet Group, which is the Amazon of Africa where we have invested in the equity, but also set up an exclusive distribution agreement for our insurance products to their clients. It’s an illustration of the combination of new technologies and new geographies which for the future should create additional growth. Last but not least of course, we do that with a high consciousness of the fact that AXA is not only a balance sheet and a P&L. And we have moved on the corporate responsibility side. And I think some of the moves we’ve been making have been extremely good for the understanding and the reputation of the branch. We’ve been divesting from coal, as you know, because we don’t think it’s a good long-term investment. We are publishing our carbon footprint which leads us to have a pretty strong ranking on the GSI side. We are well prepared for the future. And we will tell you more about that in June because I think we can right now in interesting new page we have a great mix of businesses 35% Protection & Health, 40% Property Casualty, 36% or 35% savings on Asset Management. So three legs to work. We have a very strong balance We have a very strong balance sheet. We are the number one brand which is great to attract talents, clients, and partners. And interestingly even if it seems anecdotal we've been ranked the most innovative insurance company by the 800 biggest clients of BCG, which I think is an illustration of the fact that people are taking seriously what we’ve been doing in new technologies. So this was just the introduction I wanted to make as usual Denny and Gérald are going to walk you through these earnings which we think are pretty good earnings.
Denis Duverne: Thank you, Henri. Good afternoon everyone. So we’ll start as usual with the underlying earnings of the group. You see that on the Life, they are up 2% on a comparable basis and 9% nominal basis. Life & Savings had very good results plus 3% on a comparable basis to €3.5 billion. P&C is slightly down to comparative basis by 1% and then we’ll comment on that further. Asset management up 1%, I would not comment in detail on the last three segments which are smaller but just to say that the net of the three is positive and the biggest challenge is in the Holdings segment we had a charge for interest rates had declined by roughly €60 million, partly offset by more investments in digital. Adjusted earnings were up 2% to €6 billion and €8 million on the comparable basis plus 9% in nominal value. You see that the net realized capital gains were almost stable at €433 million about the same amount of capital gains, the same amount of impairments goods results of plus two. Net income was up 3% at €5.617 billion. The nine comments related to the changing fair value and ForEx. On interest rates hedges not eligible for hedge accounting, we have a negative number of 158. On the ForEx, we have a slightly less positive number, less to €141 million and on the changing fair value of assets accounted for as fair value. So it’s essentially the bond funds we saw a fair value to the P&L. We have a minus €2.212 million which relates to both slight decrease in interest rates during the period and widening of interest rate spreads. On the exceptional and discontinued operations we have the benefit of the capital gain done on the sale of our mandatory pension funds business in Hong Kong. Integration and restructuring cost are fairly stable. Intangible amortization is slightly negative but much less than in 2014 where we took a hit on our Russian goodwill as you will recall. Moving to the Life & Savings business, on the Life & Savings business we have gross of our new business up 6% in mature markets with the new business margin which is slightly down from 31% to 30%. I think the main reason for that is probably coming from the slight dilution in the UK with a large sale of cooperative, but it's not big figure. High gross market is disappointing at plus one in new business, it’s really essentially because of a decline of our sales in Hong Kong. This is something that we had flagged a year-ago. Hong Kong changed the recognition of – in terms of disclosure, for Unit-Linked where all the charges and commissions had to be disclosed. The markets stop selling Unit-Linked all together, we were the biggest center of the Unit-Linked. Our General Accounts, product was too capital intensive and we didn’t push for the sale of this General Account, we had a shorter product that was redesigned in the spring, but didn’t sell, as well as the competition we have redesigned our products more in line with the competition it’s starting to sell in January. But we have less time in Hong Kong and its disappointing sales volume of minus twelve. The rest of the high growth market were up 12% much more in line with what we expect going forward. Overall the margin was 49% to 51% which is I would say conservation. All in all Life New Business sales were up 5%, with relatively flat margin of 34%. Looking now at the mix of business of our Life sales, you see that Protection sales were up 4% margin relatively stable at 52%. Net flows at €5.9 billion, G/A Savings down 7% in line with our strategy to focus on Protection & Health and Unit-Linked, margin at high of 19%, you have seen in one of the slides presented by Henri that five years ago the margin in that business was minus one, which is a testimony to the change in product design that we’ve achieved also in G/A Savings. Flows are negative at €2.4 billion. Unit-Linked sales at 12%, margin of 31%, the flows have move from 0.7 to plus 5.7. This is also due to the fact that last year we had a buyout in the U.S. which we have an ongoing buyout in the U.S. but it’s much smaller. So this has helped the net flows on the Unit-Linked side. All in all €9.6 billion of net flows compared to €4 billion last year. From an earnings standpoint the – on the sales were – sorry the profits were at 3% overall they were up 2% in Protection & Health, with higher mortality margin in France and the U.S. partly offset by accelerated amortization of that in the U.S. G/A Savings, we have a negative evolution of profit of 4% with on one hand lower administrative expenses which is good on the other hand lower investment margins and change in annuitization assumptions in Japan. Unit-Linked profits were up 10%, thanks to higher fees and better results from [indiscernible] in the U.S. in spite of reserve strengthening of margin to be due to policy holder behavior in part essentially linked to the secondary effect of the buyouts. Moving the P&C, our volumes were at 12%, they were at 2% in personal lines and flat in commercial lines. In those lines we have a price effect which is quite substantial 3.2% in personal lines, 2.4% in commercial, despite effect was more than offset by volume effect and we see that in more detail in the next page, Page [indiscernible] where you see the details of price effects and revenue growth by country and the business line. A few points to highlight, you see that in the UK personal lines we benefit from a 5.5% price effects, with continuation of a solid price increases in Motor in particular. You see in France on the commercial line side price effect of 4.4%, which is essentially a function of the price increases that we've put in the construction line which I had losses consecutive to the economic crisis in France and the decline in construction volumes. In MedLA, We had both significant price effect in the personal and commercial lines. And the price effect in personal lines is in particularly linked to Turkey. And commercial lines is little bit across the board. For 2016, we have given you some pricing trends [Audio Gap] you see really in the UK in yellow you see most of the other territories. You see negative subscription in Belgium. We need to remind you that in both countries we have combined ratios which are quite low to six in Switzerland and 91 from my correction in Belgium. So we believe we can swallow that. Looking now at the evolution of our revenues and margins by markets revenues were flat in mature markets with a combined ratio declining from 97.1 to 96.3 on a current year basis. High gross market revenues were up 3%, Asia up 8%, Turkey in particular flat. The current year combined ratio deteriorated from 98.7 sorry to 100.9. If we exclude the impact of the current year, reserve strengthening in Turkey, loss it's 99.4%. Maybe I comment on Turkey now. Turkey, we strengthened our reserves in total by €252 million, €57 million for the current year and the balance for prior years. It's linked to continue deterioration of the legislative environment for budget injury. It’s a story that has started back in 2012, but has continued to deteriorate this year with not only the retrospective application of the legislation, but also a new legislation which was adverse. We believe that we've addressed the situation currently both from the reserving standpoint and from a pricing standpoint. If I compare the beginning of 2015 and the other 2015 on Motor Third Party Liability, we have more than doubled our prices. The full-year effect of Motor is only 18%, but from beginning to end of the year, we have more than doubled our prices. We believe that the market is seriously under reserve. We believe that in our consolidated accounts, we have fully adjusted our reserves and that we are reasonably well prepared for the future. Direct business is in good shape. We have we increased our revenues by 7%, mostly in France, Japan and the UK. Combined ratio slightly improved to 99.3% on the current year basis. All-in-all, our current year combined ratio went down from 97.6% to 97.3%. Looking now at the full year earnings of P&C minus 1% in the comparable basis. Combined ratio has improved from 96.9% to 96.2%. And on an all year basis you see stream back to current year combined as I mentioned, down 0.3 points. The impact within that of natural catastrophes was modest this year 0.6%, essentially some storms in Germany and floods in France, but its lower than our normalized net cap charge which is around 1%, whereas it was higher last in the previous year. Prior year reserve developments are slightly more favorable at 1%. All-in-all we end up at 96.2%. If we were to exclude the impact of results certainly in Turkey on one hand and normalize the net cap level to 1%, we would have ended up at 95.6%. We take a hit on investment income, which is down 8%. We had an investment yield of 3.6, again, 3.9 in 2014. It was exceptionally high in 2014, so normalize is probably have been more 3.7, 3.8, but still we have a declined investment yields, which had to be expected. Moving to Asset Management, we had a good year in Asset Management overall. Particularly, at AXA Investment Managers where the net flows were €42 billion of which €34 billion in Asian JVs the bulk of that being with the Chinese JV whit [indiscernible]. Within that JV, we continue to see very strong inflows even post the equity market crisis, we had negative flows in July and August, but we resumed positive flows as early as September. We are considered as the best equity manager in China. The non JV business also had a good year, because the non-JV flows moved from €4 billion in 2014 to €8 billion in 2015. However, to your AXA IM excluding joint ventures at 7%, then revenues up 4% excluding joint ventures because we are not consolidating them. Net flows maybe, were more modest €3 billion positive, average AUM at 3% and revenues flatten on a comparable basis but significantly up on a euro basis. For the underlying earnings they were up 10% on a comparable basis in Asset Management, 5% at AXA IM and minus 2% in the comparable basis, two for EBIT. I'll hand over now to Gerald. Thank you very much for your attention.
Gérald Harlin: Good afternoon. So as far as the ALM is concerned, our invested assets amounted to €552 billion. You can see that in the past, the vast majority of I said 83% are fixed income assets. And real estate correspond to 5%, listed equity is 4% and other income mostly loans and NDDS [ph] represent 7%. The duration of all assets is pretty long eight years fall out on savings, five years for P&C so we kept a tight duration mismatch which is good in this environment where rates are going down. And the asset yields continue to hold quite well in Life as well as P&C, you can notice in P&C that it goes down from 3.9% to 3.6%, but as Denis just told you, excluding an exceptional dividend in 2014we would have been at 3.8%. Let's focus now more on the fixed income side. And first of all, starting on the left with Govies and the highlighted bonds which are maintaining the AA range and whereas on the right-hand side, you have the corporate bonds rating which is corresponding to €190 billion in the A range and of course, you will note also that we have 8% invested in below investment grade. Below investment grade is $19 billion at the group level but it's mostly the vast majority is very short-term high yield, which has much more visibility by short term, I mean, between 1.5 and two years. You will see more details in the Appendix C than if you have more questions, of course, I'll be quite happy to discuss it during the Q&A. Let’s focus now on the 2015 investment, we have been investing €65 billion at an average rate of 2.1% and you will see that we have been investing in the investment grade credit for 57% with an average rating of A Govies, because you know that the work powers to manage our duration. The only way to manage long duration to Govies because it's a duration of corporate bonds is shorter. Below investment grade 12%, that's the same comment mostly in the short term high-yield bonds between 1.5 and two years. Let's have a look at the investment margin. The investment margin was quite resilient. It dropped from 80 basis points to 79 basis points. It is mostly explained by the spread of the guaranteed rate on the in-force [ph] book, because with an earning yield at 3.6%. We have a guaranteed rate that 2%, one year ago it was 2.1% which means that we have a margin of 160 bips. On the new business, it's the same. That means that we are investing at 2.1, the average guaranteed rate is 0.5, which means that we have an average spread of 160 bips. Let's have a look now at the shareholders' equity, the shareholder’s equity went up 65.2 to 68.5 most explain I would say by four elements. So, first one is by definition net income of the year €5.6 billion. Next is the dividend, the dividend 95% that we paid one year ago is that we paid in May last year corresponding to €2.3 billion. Next is the change in net unrealized capital gains, mostly coming from the widening of the spreads and slightly higher rates minus 2.6 and the Forex movements I remind you is that, it’s worth noting that our fixed hedging policy is to protect up to 25% of our share holder’s of equity, meaning that we benefitted from a higher dollar – higher Swiss Frank and a higher Pound. Next is the debt, I would say that, as already mentioned, we have a debt gearing which is at 23% which is in the low end of our range which was 23% to 25% in debt coverage went up to 10.7 times. Most of our debt are subordinated debt, you can see €9.5 billion undated sub debt and Tier 2 debt €6.9 billion. We remind you that operating on our A plus positive about [indiscernible] and AA minus or equivalent that Moody’s and Fitch. Moving to a Solvency II. Solvency II ratio is at 205%. And you can see on the right, the sensitivity of the Solvency II ratio, which is smallest in line with what we had been sharing with you at the beginning of December. Since we will be starting from 2012 which indeed that we shared with you at the IR Day, the evolution although it's quite spread forward, you have the operating return of the last quarter plus five points and minus the dividend corresponding to minus nine points in the end we are too, we end up at 205%. Let's move to the [indiscernible]. So there is a [indiscernible] has been adjusted in order to take into account, the cost of capital of Solvency II, which is a plus of €0.5 billion, which is not in the operating return. Nevertheless, the operating return is quite strong at plus 18% in line with our earnings and NPV growth and we ended up with [indiscernible] at €51.2 billion. Let's move to the operating free cash flow. The operating free cash flow in 2014 was in life €2.5 billion, in 2015 on a pro-forma basis it is €3.1 billion taking into account the fact that we have higher cash flow of €0.5 billion coming from the lower cash requirements, as you know with the end of Solvency II we can benefit on the future profit just to match the capital requirements. This is probably the same with in terms of rate of return, our internal rate of return went up from 14.2% to 14.4% and though the solvency I framework, in Solvency II it 74.5% to higher the same reason as the one I explained for the life cash flows. Next is the global cash flow, I would say, and the cash flow combining life and the other business lines went up from 5.5% to 5.8% plus 5% up from and the remittance ratio went up 86 to 87. In the end, we had €5.1 billion upstream to the holding company. And as you can see here the path coming from the U.S. was in line with what we said €0.6 billion. On the pro-forma basis, in the sense that means that it would have been – the global cash flow would have been €1.5 billion higher due to the less – to the lower constraints. Last, I would like to share with you the sensitivities to market conditions that we did the same one year ago and assuming that we would invest that 2% on average. We were at 2.1 last year, so, 2% on average. It means that we would that an impact of €0.2 billion that would be recurring, assuming that we would still invest in fiscal year at 2%.In case we would invest that 2.4 then it would be a hit of €0.1 billion only. As you know, we already at such an impact of minus 0.2 in our 2015 accounts. Limited equity sensitivity, because if we would have a 10% decline in the equity market, the net impact on the earnings coming mostly from the fees, from the Unit-Linked business would be down €0.1 billion. Last, Solvency II ratio is at estimated [indiscernible] that means yesterday, it would be circa 190%. How do we explain the scope of 15 points? I would say minus 8 points coming from the right and from the fact that we had a decline between 40 bps and 50 bps depending on the currency. We had a slight decline coming from the equity, assuming a 10% equity minus two points, so it only 10%. And on top with the volatility and the volatility on both equity and interest rates went up, which explains an additional minus 0.6. In this 190%, we didn't take into account the operating return for the year almost two months of the year. I hand over to Henri for the conclusion.
Henri de Cast: Thanks. So conclusion is going to be a very brief one. Strong earnings, strong platform, interesting future. Now, questions.
A - Henri de Cast: So let's start. Maybe, when you ask your question if you can who you are not that we don't know you, we know all of you, but for the people who are just listening to the presentation, it's probably more helpful. Is there a mic somewhere? If you could come in front. Thank you.
James Shuck : Thanks. This is James Shuck, UBS. I had three questions if I may, firstly, just thinking about the development of the AFR, I appreciation it is a new disclosure that we're moving through, with Solvency II. Well I mean, just to get a feel for, that kind of a natural gain of capital generation is into 2016, there is one thing to look at your capital generation as you cover a cash flow basis. It's another thing to think about certain drag effects. So there might be such as the unwind in the volatility adjusted for example. So if you could just talk through how we should think about AFR development in 2016, that would be helpful? My second question is around the Tier 1 capital? I mean, I think we showed the solvency II Investor Day, you gave some excellent disclosures very helpful, and I think you had 84% we are showing this in Tier 1 capital. I just like a bit more insight into the components of that Tier 1 capital. If I was to take the in-force value from the MCEV disclosure, is that a good proxy for the amount of in-force attaching created within Tier 1. That's my second question. And then if I can quickly still a third one. It was just on the new money yield, I'm just interested and I have knew that 2.7% in 2015, but what is that if we just think about, the first quarter of this year. And are you seeing any problems about actually fining liquidity and investing in corporate bonds?
Denis Duverne: Yes, about the development of AFR, you remember that in – at the beginning of December, we mentioned that on average, we could expect to have an operational capital generation of 20 points, net of dividend, let's say of 10 points it would mean roughly 11 points, but if you see, I would say on average and for sure. As far as the AFR is concerned it goes along with, it will evolve with a mark-to-market and that's the reason why I said that we will move from 205% to 190%. So under new [indiscernible] on to date basis roughly we will be slightly above 190%, let's say. You can expect whether in attrition of, let's say, 10 points; you should deduct from this 10 points, that – that's a point I mentioned with the acquisitions, when we make some external acquisition, I remember that the example after – imagine, that it would be €1 billion. €1 billion high-growth countries, it's minus six points in matured minus three points. So, I believe with these elements and don't think that €1 billion is kind of forecast, just an example, but it gives you an idea of the sensitivity. Your second question was about the tier-1 capital and the MCV. So, in the early report, we can also take it offline, but in the early report we have reconciliation. And if you to page 27, and here we have a reconciliation between high pressure holders equity and the group. So, you first, you had shareholder equity that's quite classical. You need the TSS, TSDI, you deduct then the excluded intangibles, that's quite customer base, that's the way we present. We have been presenting up to now. And you had the [indiscernible] which is at €52.3 billion and then you are the best and you end up with the needy of 51.2. Next, you had the dividend to be paid. You add the TSS, TSDI, tier-1, tier-2 because they are part of the Solvency II ratio, and you have some technical adjustment. Among this minus 5.9, you have two main elements. One, correspond to the NPVs, market value margin which is quite significant. And you have also the move from the actual work P&C reserves to the Solvency II reserves. So, that's mostly – but we can – I can comment on the – after the meeting with you too if you have additional questions. Your last question was about the investments. Today, we are – and at the present condition, we are investing roughly between 2% and 2.1%. We achieved nevertheless not so easy, but we don't give up on the quality. It is that we have been quite firm on the fact that we were investing in as far as the sovereign bonds are concerned on average AA, A and corporate bonds. So, it's not so easy, the liquidity is not so high, but nevertheless we achieve it. So that we can invest in other type of assets like ABS like CLO's but high quality CLO's, Double-A plus, but if we – then we can get some higher returns, as well as loans like corporate real estate loans. So we are using a different ways, in order while giving up some part of the liquidity not giving up the quality. Keep in mind that when we invest – when we invest in Triple-D minus for example loans, if there is a downgrade and then immediately the cost of capital, would be much, much higher. So that's why we are extremely cautious on that.
Henri de Cast: Go ahead
Unidentified Company Representative: [indiscernible] The first one is on the cash, you had this increase in net of cash from €5.2 billion to €5.8 billion. Last year, I remember you admitted, figure I had in mind of, I don't know which currency but I'll call it $1 billion and this year, I think you've admitted $800 million, and I just wondered why you left $200 million in the U.S., when we're talking with your lovely IR team. And I said, I'd be like [indiscernible] every day, I wouldn't leave anything in the U.S. So that's really – I just wondered is there to understand this, the other thing is I noticed and it is kind of really stupid question, there is quite a big rise this year in your deferred acquisition costs, last year they went up €2 billion, this year they went up €3 billion, so that' – and one day these things have to be amortized or written elsewhere, always wonder a little bit about that. And then the final point is, can you look us in the eye and say Turkey is finished, that would be very nice. Thank you.
Henri de Cast: I will take the Turkish question and leave the other two for Gerald. So I mean, I probably told you in 2012, when we take the first big hit that Turkey was finished, this was without knowing what the regulators, that what nor the regulators, but what the judges and then the legislative would do in the meantime. Right now, I can tell you that we have taken a hit that we believe is reasonable, it is way more significant than our competitors that, but this is there are still a number of assumptions here, there hitting this idea now. So we are basing our reserve estimates and ultimately – what we believe is the ultimate development of those claims and we are making certain assumptions on the likelihood of our litigation by the victims of accidents of the last 10 years. And this percentage of claimants, as increased strategy we've made our own estimates of where it would pick, the pick that we have estimated is not 100%. So, we've made the proven wrong but it's quite high. And so there are lots of estimates like this that come into account, but among the last developments that have taken place, there was an indemnity for the liable drivers that didn't exist. There was a compensation for the loss of value, which is something that exist in Germany, but in no other place and will there be further surprises, I don't believe because we believe that if people were putting their reserves to – the market were putting the results where we've put our results. There would be no equity left in the P&C market in Turkey. So, I think there will be some time for adjustments of our capital with our competitors.
Gérald Harlin: The only good news is that we have the feeling that following the lobbying efforts. The Turkish supervisor over the regulators have finally understood that the insurers were not the Alibaba Cavum.
Denis Duverne : First of all about the U.S., so in the U.S., we don't pile up the cash in the U.S.. You know that, we mentioned last time that we would upstream between €1.6 billion and €1 billion. That's what we did. And I can tell you that we still have €4.6 billion debt left in the U.S. alone from the company to the U.S.. We will maintain the same type of amounts. We can expect to have between €0.6 billion and €1 billion that will be upstream to the holding company. So, no specific will be on that side. And the story that we told you last time is still true today.
Gérald Harlin: There is a positive regulatory development on that front, which is that the New York state was allowing the lower of 10% of surplus and the statutory earnings as an automatic upstream and now it's the higher of the two that work so far. It would allow us to increase the dividend that doesn't have to go through the regulatory gates and that should come sometime this year.
James Shuck : On the DAC.
Unidentified Company Representative : On the DAC, so I believe that your remark is mostly volatile to the U.S.. The DAC increased from on the €11.4 billion – from the €10 billion to €10.9 billion after-tax. So, that means that this DAC level has been increased mostly due to the significant part of it is playing by the last, that as explained by Denis, we have increased our reserves to take into account the lapse rate which is lower than expected. Same for what we call the partial withdrawal. So, the impact has been less than €50 million as of additional DAC, but pay attention to one point which is the DAC and its sales should be analyzed in the light of the key factor. And our key factor went down because we – why because when you have more lapses – less lapses that means that you will have more future parties more future fees which means that if I take on the last year we had a key factor at 65% and this year we're at 68%. Another way to look at it, if you go into the EV report, you will see that in the end the impact on this – the enforcement of reserves was only €75 million negative, you have a footnote on this.
Unidentified Company Representative : Yes, go ahead. Let's change sides for a while.
James Shuck : Thank you. I've got three questions please. On the first, if you could talk a little bit about claims inflation in P&C and how that's comparing with the rate you achieved on the book both in commercial and personal? Second, on the high yield, a remittance ratio superficially sounds quite scary bringing the high yield market environment. But if you could talk a little bit about the confidence you got on visibility? Which sectors you're in? And just give a little bit color around the high yield exposure plays? And then just finally, just on the slide you put up with the sort of capital stack that the cash yield netting off day sort of the holding company cash just gone down quite a lot year-on-year from €4 billion down to €4.8 billion, is that not holding company that versus different cash balance?
Unidentified Company Representative : On the first point on the claims inflation. So, you have an appendix on these that let me find it and – yes, that's on page B59. Thank you, there. On B59, so you can see that on the total P&C, we had a frequency and stability which increased our combined ratio, and it was the severity 2.1% but of which you have the impact of stability of Turkey so which – and Turkey is roughly one, two points. So, that's why we have a severity of plus one points, which is more than offset by a price effect of minus 1.5, what is the good news is the fact that we have a frequency, which is still negative at minus 1.8 and so that's I remember that when you have to go out of a lot of – questions about the [indiscernible] would, that's frequently would go up, it's not the case at all. And we don't see it for the time being any of high frequency. Your second question was about the, it was relative to high yields and as far as the high yield is concerned, we don't have, I know that there are lot of questions and legitimate question about high yields and the impact of oil on high yield and I'm ready with your question. We have an appendix on oil and on our exposure to oil and gas, it is our exposure to oil and gas as a whole is €12 billion only and it's €12 billion – out of this €12 billion, the share of corresponding to –and it is always difficult for me to find my pages. So, on to – out of the year, on page B 48, you can see is that we have €12.1 billion investing in oil and gas of which investment grade is 8%. So you can – below-investment grade is. Thank you. And I didn't want you to have a wrong assessment of the way we managed our assets. So below investment grade being 8% only out of €12 billion means that we are quite safe and we don't believe there is any risk and going back to the previous question, I answered, look at the Triple B-minus it is 9% only. And that's what we have a close look at the, just as I'll comment about the way we manage our corporate bond weight, we have a group team, which is independent from the two group asset managers which access all the way that cover 80% globally of our corporate bond exposure and so that means that on a regular basis, we are accessing that is with our own ratings, in spite of Solvency II, I would say framework, that means that we have our own view on each type of this and that why we have been for long time now extremely cautious on managing and anticipating this down grade.
Unidentified Company Representative: And one comment from me – on this is below investment grade portfolio, it's essentially as you said, short duration high yield portfolio is essentially managed by [indiscernible] investments manager's team based in Connecticut with a duration that which is lower than two years and an extremely good track record, that they've maintained through the various cycles and we are quite confident with that
James Shuck: Just an indication, what is that new money yield if you are investing in the high yield today, what sort of spreading [indiscernible]?
Gerald Harlin: In powerfully speaking, we can invest at the level which is the 3.5% roughly and up to date. Yes. Your last question was about the cash in the holding company.
James Shuck: [Question Inaudible]
Gerald Harlin: And may be we can go to page B76 because it’s on Page B76 you can notice that up to now we have been reporting our debt level, which was net of cash basis, and that's what you see here, we were at 23%, that's what we – what I reported. But the new methodology, we will apply a new methodology, why because we believe that it's much more in line with the global practice for you, it should be far easier to compare our self with our peers and for us it will be also easier because it's the way most of the rating agencies are reporting the debt gearing. So that's what they wanted too. So we will start in 2016 reporting this way.
Unidentified Analyst: Okay good.
Farooq Hanif: Hi Farooq Hanif from Citigroup. Even if you add back the – some of the one-offs, Turkey reserving in the U.S., your underlying growth rate and underlying earnings is still between 2% and 3%. So it's a low number, in fact the way you've achieved obviously, historically with markets affects that are all the tailwinds. So should we think of you now going forward as a Company that just needs a supplement or lower level of organic growth with M&A or with the attractive cash, is that how you like us to view you, that's the kind of question number one. And the second point is, the more I look at the U.S. business, you seem to talk about it less, talking about high-growth markets, it's never central to your strategy and view and the VA market I think is about to take a see a big change in the U.S. I believe this year with the DOL regulation. Isn't it time that – I mean would you ever consider exiting the U.S.? Thank you.
Henri de Cast: I mean it’s not – I mean, we are trying to focus on the elements which are noticeable. I the U.S. had a strong and a good year. Strategically I think it’s important for group like us to be in the U.S. because structurally the U.S. economy has a potential [indiscernible] which is higher than Europe. So I see no reason for us to exit the U.S. Yes some times you have headwinds we’ve had some of them in the past, but there is absolutely no strategic reasons to exit the U.S. On the contrary I think we have a very solid basis to build from. As you know we’ve been starting some initiatives under the employee benefit field. We think there is one to go. We have a very strong team, there.
Farooq Hanif: [Indiscernible]
Denis Duverne: Go ahead.
Henri de Cast: No, no go ahead.
Denis Duverne: So on the U.S., yes, we have the cloud of the DOL which applies not just to AXA but the totality of the market, but we have a number of growth initiatives. And when you look at trajectory of growth of our U.S. earnings over the last five years, I wouldn’t say that we are ashamed of this trajectory. So we are quite confident in the quality of our U.S. business, the quality of our U.S. teams. And we have a certain course trajectory…
Gérald Harlin : B34.
Denis Duverne: B34, yes. Okay.
Gérald Harlin : Correct.
Denis Duverne: Thanks Gérald. So B34 you see that we move from under €500 million of earnings to €850 million this year. So we are not worried about ability to keep some growth in our U.S. earnings. Coming back to you more general comments on low underlying earnings growth, I mean we’ve not been shy of telling you that low interest rates were a permeant €200 million headwind at the current level, which means that we need to offset this minus four points roughly of underlying EPS growth by the various growth initiatives. I will not give you in February the June presentation. We still believe that we have the ability to grow organically this business. You see that our life growth was quite – in terms of earnings was quite good. We’ve had some negatives in P&C this year but we have a number of initiatives to grow our commercial lines of business. This was part of our Ambition AXA priorities to grow the commercial lines business. We’ve not been totally successful, but we've worked a lot in the meantime and we believe that it will come eventually. Our Asset Management business is recently well-positioned so we are – we do believe that we will be able to growth organically. M&A will add on top of that but we believe that we will be able to grow organically. I mean, they will add on top of that but we believe that we will be able to go with it
Farooq Hanif: So wait until June and you will see
Denis Duverne: Between now and June, it is – but you can do better than that, but we should have to wait for [indiscernible] as well.
Farooq Hanif: Yes.
Blair Stewart: It's Blair Stewart, Bank of America Merrill Lynch. Just a couple of the U.S, just looking with the DOL have you refined your thoughts as to what might happen there and how do you see the product revolving in the U.S, it strikes me that either there would be lower volumes and therefore there would be possibly better cash flows for you, because you invest quite a lot and in terms of new business strain, while the product will evolve to be a less capital intensive from the [indiscernible] as the market moves to a fee-based structure. So how do you see the U.S evolving, and what's this regards to the product and going back to DOL I might ask. And taking the U.S. the reserving change that you've made for experience, and is the reserving note in line with current experience or is there still some gap plus or minus after a couple of question cost, but if I may be, we can do the U.S first
Henri de Cast: I will take the first question on the yea
Denis Duverne: Yes. So reserving [indiscernible] experience is now completely reserving – for lapses and for partial results it is fully in line with the current experience. DOL, I wouldn't say that we have more clarity now on the DOL other than to that we know that probably in April the new rule will be published with an application roughly at year-end that's about all we know. I think the people are really waking up to this, because the number of people thought that the other thing would be effective and now they realize that probably it has not been fully effective, but there is still a lot of uncertainty in terms of weather the various firms will allow their distributors to provide advice and take additional legal risk. And what I heard in the U.S a few weeks ago was that probably large firms with the first to accept that their distributors take that responsibility, because it will be a competitive advantage to do it and a competitive disadvantage not to do it. So basically, that's I mean this, I think there will be as much news coming from the behavior of the firms and their advisors as from the road itself. Until we have more clarity on that it’s very difficult to anticipate the impact.
Farooq Hanif: What's AXAs thoughts around advice?
Denis Duverne: Again we will look at the potential impact and so react to what the competition is doing. But this is clearly a very important topic and I believe that the U.S. market is quite competitive from – I mean, advisors are quite mobile and we need to take that into account in our thought process.
Farooq Hanif: What about move to fee-base?
Denis Duverne: The move to fee-base is only going to apply to the high end of the market we’ve seen in that other – we see that in the UK. I don’t believe that for the I would say, the less affluent client base, which is our client base, the vast majority of people will be sold on fee-based products.
Henri de Cast: Okay. Next question on this side this time. Sorry, we will come back.
Nick Holmes: Nick Holmes, SocGen. Couple of questions this time on the P&C business firstly, your targets combined ratio of 96% wonder if you could give us little bit of color as to what you think the environment will permit you to target going forward – I'm sorry, to be more direct, can you beat 96% going forward? And then second question sort of related is on the Turkish experience, how does this influence your plans to expand in new markets? Particularly, direct – I think Asia, direct EMC is a big focus for you. Does the Turkish experience make you think that it's more difficult to do that? Thank you.
Gerald Harlin: I would say on the first question, be little bit patient and wait for June. I mean, there are number of markets where we are below 96%. One of the reasons for which we are still at this level is also that in a number of companies, we are still in a development mode on the direct side, which will be time should see improving combined ratios. On the Turkish experience, I would go beyond that. I mean, we've had some disappointing experiences in Eastern Europe as an example. I think one of the issues – each and every business is Phase II is emerging countries is that the [indiscernible] all these emerging countries. They are now faced to sort of simplistic failing, which is a poor quality of their public governments and it’s a concern, but it goes with the risk premium. We know that we have to accept a certain degree of risk. We are aware for the long term. When you look at the Turkish economy beyond [indiscernible] it remains one of the vastly populated markets of the region. It remains a very strong economy. Yes, you will have phases where there as well as in other markets, you will see adverse regulation, adverse governments, that surprises, but in the long term I think it still worse doing things there, because if you don't do that the risk you take middle term is to catch yourself from the most erupted emerging consumer class, which you want to target. It's not as if the middle affluent middle class with growing by 10s of millions in the mature country. We know that there is a challenge in the mature countries, the place where wealth is going to be created even if they are going to be ups and downs around the trend remains the emerging world. So, we have to target very selectively what we want to do and if you look at what we've been doing, we've been collecting the large markets. We have to accept the fact that you'll have some bad surprises, but I think it's where in the long run because you build the brands, you build the client base, and over time, things are probably going to normalize.
Denis Duverne: And maybe a few additional points. I mean, if you look at it from the inside in terms of the lessons that we've got both from what happened in Mexico last year with the Abigail Hurricane, and what happened in Turkey repeatedly. I think we've taken a number of lessons for the way we manage our portfolios. Reserving sophistication, claims management sophistication and pricing sophistication, more diversification of the book less Motor exposure and a better mix of Motor and commercial lines and reinsurance, we've lowered the trigger points of our reinsurance compared to what we do in mature markets, because we realized that we don't have – and as sophisticated understanding of each of our exposures.
Henri de Cast: Yes. I mean, the place where populist is taking place because better regulation is most of the time coming from population. It's more retail lines than commercial lines, which leads us to think that – I mean, if there is an area where you want to develop faster it's probably commercial lines going forward. Next question?
Ralph Hebgen: Thank you. This is Ralph Hebgen, KBW. Two things, one relates to the VA reserve increase. Also noticed that you announced another buyback program in the U.S. and we're just wondering whether if you could explore to which that reserve increased may have been related to the anticipated change in policyholder behavior which you sort of perhaps yourself created through announcing the buyback. The buyback itself will certainly change that and have an effect on [indiscernible]. And the second one that was such a complicated question, I forgot my second one, the second one relates to the volatility adjustment in the Solvency II ratio. Now this is also quite technical, but are there – just to make it simple, are there any limits to which you could, you can make applicable the dynamics volatility adjustment in, at the time of high terms market volatility. Is there a basically a limit beyond which you were not be able to neutralize the impact of increasing the spreads? Thank you.
Henri de Cast: Denis you want to take the first one, then Gerald will go with second.
Denis Duverne: I will take the first question on the U.S. Yes, you are right, and I mentioned the relation between the buybacks and the reserve increases linked to a changing policy holder behavior, the buybacks and themselves have triggered lower lapses. And that's fair, I would say that the buyback that we are, that is currently taking place has a much more limited impact in terms of take up, the previous one if I had to take up, roughly 12%, slightly more than 12%. This one will have probably an impact of roughly or do something like a take-up, something like 4%. So the reserve adjustments are more a function of the previous buybacks and they are a function of this one, which is much more limited in its impact. But clearly, we've taken the opportunity of the buyback, which are – we've guided, if you want by adjusting the reserves taking into accounts, that with our current expense in terms of [indiscernible].
Henri de Cast: And then the volatility. Yes, the limit the absorption.
Gerald Harlin: Yes, first of all, I remind you that we have a low sensitivity to corporate spread for one reason, which is mainly the fact that the volatility adjust always done, it is an average of different companies in Europe and we have a percentage of several bonds which is higher than the model portfolio. To answer that, I think your question the volatility adjusted is being done and is been created at the demand of whole of the industry, just in order to offset this improvement. Why, because it's not because – of course if the corporate slight widening would anticipate in kind of the report would be newly counts. But, so long as it's stressed material volatility on the mark-to-market basis, it will be offset and it will offset and the objective is really to adjust the discount rate used to discount your liability. So, I don't think so. And look at the time we should think about Solvency II is the tough job to implementation. So, there is not real intend to change it and keep in mind that you have plenty of companies today as you are using the condition because they didn't want the Solvency II. So, first, it will be important to the issue that all the companies moved to Solvency II and next to think about any kind of tradition, but to be clear for the time there is no sign of any kind of revision as far as the volatility adjust turn is concerned, it's [indiscernible].
Henri de Cast: Yes, I mean whoever on this side.
Fahad Changazi: Hi, it’s Fahad Changazi, Nomura. Could I just ask the question on big data and technology? Everyone is seeing it, and slightly bit provocative, but what – should we be taking this seriously? And what kind of metrics or indicators are you looking at? Definitely, some tangible gains later on or you just wants to stand still? And the second question on commercial, I don't want to [indiscernible] the June Investor Day, but UK commercial still remains very competitive and also commercial. Just talk about general market conditions and does it mean any impact from troubles? Thanks.
Henri de Cast: On UK commercial since Paul is here, I'll just ask him to briefly comment on the very remarkable performance we've had over the last five years and on the reasons for which we think that we are in a fairly good position going forward.
Paul Evans: Since rates are changing commercial and I think we saw a [indiscernible] rate around minus 1% in the UK SME segment last year, but it's still possible to get growth through being close to brokers, growth being more digital and our engagement with both our customers and with operators. Over the past five years in the commercial segment, we've framed about the [indiscernible] and compound each year and that's come through very real tangible growth i.e. more customers through brokers. I think that is sustainable going forward. You asked that this situation would create any change in the rating environment, progressively, I don't believe. So and I think there is a general [indiscernible] that will go on already in the larger risk segment of the market. Not really in the SME segment, but well that in its own right address what is sharp softening in the larger segments. I don't think so that's more structural, that's it from capital coming in. I think it's going to take a much bigger shop to address that. But I think we are going to have, a degree of [indiscernible] actually that in a mature market, like the UK, we are growing by 7% in this past year, that we can maintain growth not by being cheaper, but actually by being better for our customers and our brokers, I think we've demonstrated that over the past years.
Henri de Cast: On big data of course you should take that extremely, seriously, why so because within, in insurance and I think in customer, I mean understanding is all about capturing data points, which are enabling you to map what the risk is and to map it, not only on the historical basis as we did it in the past but sometimes on the dynamic basis. So the ability to accumulate more information and sometimes to have this information on real time – very, very profoundly change [indiscernible] risk selection, the pricing, the prevention and I am convinced that over 5 years to 10 years, the value added that the business is going to move from efficient claim settlements to efficient prevention. So it's going to change a number of things, I'll give you a very, very simple example; one of our issues in the French business was to have a 360 customer understanding because a group is as you all know, the result of impalement of acquisitions than we had in front 17 different databases. What we've been doing with some external help in mapping, the I would say the customer I'm trying to get to 360 to big data, as enabled us to understand way better who are our customers, what was the connection between them. By the way has helped us to identify a significant number of often clients and you know that often clients can be an issue from a regulatory standpoint. So it is becoming real, it's not because it's really, that it's not going to be gradual, but it's really becoming real. I mean in large risks, you'll have a lot of things going on, because in sophisticated machines, when you'll have chips from the machines, you will be able to detect much earlier, what are the risks of disruption of I mean break up and therefore if you do it properly and if you had your customers except to share some of the data with you, you'll be in a position to price better to minimize the, I mean to minimize the level of the claims. So I would take it extremely, seriously. If not, we wouldn't be making the investments we've been making. Andrew.
Andrew Crean: Good afternoon. It’s Andrew Crean, Autonomous. Three questions; firstly you impact…
Henri de Cast: I think that everybody have three questions, this afternoon.
Andrew Crean: It’s quite a big company.
Henri de Cast: That’s why we are sweet.
Andrew Crean: On the impairments, we should see €278 million last year, could you split that between fixed interest and other, and say where you think given the market turbulence this year that even still stay within the €300 million to €500 million realized gains target. Secondly, you always quite disfigure on the life side of your life portfolio yield 3.6% in time, I think the guarantee is 2% and therefore the spread is protected, but there is the average is always hide, potential [indiscernible] slightly below the surface, which we can't see. I wonder whether you could give us some sense and projection, maybe not now as to whether you can really genuinely maintain that spread or whether there are all wrong which may up set it. And then thirdly, I mean we've had [indiscernible] coming the UK, where [indiscernible] coming in the U.S., DOL we are – we have got a similar thing running through MiFID II in Europe coming out, how do you see that impacting your business?
Henri de Cast: Okay. Gerald, do you want to answer on the impairments – on this part. So can you take that.
Gerald Harlin: Let’s say that the impairment is mostly on equities and we had almost no impairment on fixed interest. But your second question, which is – yes, and I could say the today if you see, if you have a look at our document, we said that the unmet, unrealized gains on the equity portfolio was €1.7 billion, right €1.7 billion, after-tax and after PB, meaning that if I update this portfolio and up to date condition just other way we did it for the [indiscernible] be slightly above one. So we achieved a good outcome, why, because we were now to almost not invested in banks and in oil which means that our portfolio gets quite well. So we are presently a bit more than €1 billion of unrealized capital gains and of the present condition, or the conclusion we could say that, yes, we maintained this [indiscernible] Of course, I cannot say what will be the evolution of the market, but the end of today's condition. Yes.
Henri de Cast: On the second question of the – on the investment, I mean, spreads as you know, we disclosed not only the fact that we had a 79 basis points this year than 80 basis points last year, and we have, as I said, 2% guaranteed rate, 0.5% guaranteed rate on the new business and this 2.6 and the 2.1 I mean, the current yield and the yield of the new investments. We also disclosed on page B65, the situation for the main countries, the main geographies and you can see on that page that we are closer, I mean, the spreads is much tighter in countries like Germany. Having said that, so we are still confident for that 2016, we should be able to remain within that 70 basis points to 80 basis points, if rates continue to stay very low for longer we would probably have a gradual compression but of a few basis points each year with our projections are still quite decent. So, we don't expect to keep do more in that space. Your last question is on – we will talk about that later in June.
Andrew Wallace-Barnett: Do you want to take the last question?
Henri de Cast: And the last question was, if there anything like the dollar happening in Europe? I mean, [indiscernible] we believe it will not be massive and nothing like that in the sense that in – the EU regulation is not prohibiting upfront commissions. I mean, where the UK obviously, situation. But apart from the UK, I don't believe that upfront commissions will be disallowed. And there is going to be because of the low interest rate environment, a pressure on margins both on the asset management side and on the life side that which we have to continue to address with expense efficiencies. And the one thing that we've said over the one or two years ago was that we would have another expense efficiency program as part of our next plan, but we don't see dual like situation coming up in Europe
Gerald Harlin: [indiscernible] in early on I mean all know that there is a pressure in favor of the consumer, that's natural. If you want to see it in a negative way, you say it's about to business. If you want to see as an opportunity with that vertically due to – is to invest more in compliance to protect yourself from risks which I think we've done pretty efficiently so far. And if you look in the middle to long-term, I would say the most stringent the regulations are, the higher the obstacle to small to middle sized companies, which are not going to have the means to invest in the proper systems. I mean, I would say the proper compliance. So, for us it's not at the end of the day necessarily the negative.
Peter Eliot: Thanks. Peter Eliot from Capital Subaru. Actually wonder if you could give us an update on your enforce management? You gave us a good presentation at the end of 2014, when you said you've gone to 10% the through the books, there was a lot more you could do in 2015 and you are targeting I think €400 million to underlying earnings from that. Just wondering the actual [indiscernible] perhaps anything more we can expect there?
Henri de Cast: Good. Gerald is a great fan of enforce management.
Gerald Harlin: I would say that for sure we are on track and we are moving forward on cost management. I think its opportunity to say that as the enforce management is quite important for products, which are extremely capital consuming and that’s way we presented it and we will do the plans that we presented to you. But it's important to understand as well is that progressively we will move as well to Solvency II and we see emergence of Solvency II to capital line type of products and by this I mean capital products where for example, you don’t have every year kind of guarantee but, the guarantee mission a after seven years after eight years, which is the relatively -- which is relatively good profitability and the Solvency II. So, because actually we can imagine also to replace some of old products by the initialization of product in an environment where you cannot imagine to sell exclusively uniquely products.
Peter Eliot: Just a follow-up very quickly I mean some of that just sort of medium to longer term, but and I guess given where your comments on the capital intensive. I guess I still looking at that because from GA savings result here and just wondering what we can expect from near-term?
Denis Duverne: On the GA savings and you have appendices on this that we could comment. So that means that on the GA savings we have a contribution which is slightly negative in term of earnings. So, we decreased slightly GCB's contribution. We can go through the -- maybe we have -- can go to the appendices at the beginning of the page B72 and now we can go to B72, it is explained the margin on GA savings and you can see that in the pretax underlying earnings basis, we dropped by, we had a drop of €68 million more or less it was the same last year. And you can notice that it's mostly due to the evolution of investment margin which was minus of €75 million. So we could say that to the margin revenues and the technical margin [indiscernible] but it's mostly investment margin which is going down and this is quickly in line with what we did last year and it got worked. And if you take [indiscernible] was minus 7% so that's also something which is a quite that we can expect, except the development – the potential development of this new capital-light type of products.
Unidentified Company Representative : Good, still one question in the front.
Peter Eliot : You mentioned, you've sold two big buildings in New York?
Henri de Cast: Yes.
Peter Eliot : And its big game like it has been are you using that money.
Henri de Cast: What are we going to do with the money?
Peter Eliot: Yes, exactly.
Henri de Cast: We’ll tell you.
Gérald Harlin: We’ll tell you.
Henri de Cast: We’ll bring it back. Once again…
Gérald Harlin: Be sure we are constant that with the presence.
Unidentified Company Representative : Okay. very good. there are no question – there is one additional question in the back. Yes, we will move to the line.
Unidentified Company Representative: Sorry this is a question from the web. If everyone is fine in the [indiscernible] it's from Pierre Chedeville, CM-CIC. And he asked how do you respond to higher competition coming from banks in the Protection and Health business in France. And have you lost market share?
Henri de Cast: No I don't think we have been clear that the banks, which are struggling because of the – I would say the situation in terms of interest rates, we are trying to generate small revenues from other activities. Well, it's something we've been knowing for long. If you look at what we've been doing and I don't think we have lost market. So if you look at the Health market as an example, we have lost for the last evolution of the regulation in France, some individual clients that we have gained good clients with a new reform, so I mean it's a fact that banks are trying to do more, I don't think we are necessarily victims of it on the contrary.
Gérald Harlin: If I may add on this, first the fact that banks are very presence in the life market in front is…
Denis Duverne: Is no dues.
Gérald Harlin: They’ve had for many years more than 60% market share on the French life market. On the Protection side 2015 was extremely successful [indiscernible] and you may have noticed that there was a change in regulation that we will have several steps for mortgage insurance where the banks essentially, were doing a tight sale and we had – and now they have to tell their customers that have a choice to take the mortgage insurance from a different provider. So overall our protection sales have a very good future in France and 2015 was already very successful.
Henri de Cast: Another question coming from the web, now it was the only one. Very good. So I think on the this happy note we are going to conclude, I mean the food industry is trying to take sold and find oil out of the products, we are trying to take coal out of our investments and capital out of our new products.